Operator: Good morning ladies and gentlemen. Welcome to CCL Industries Third Quarter Investor Updates. Please note that there will be a question-and-answer session after the call. The moderator for today is Mr. Geoff Martin, President and Chief Executive Officer. And joining him is Mr. Sean Washchuk, Senior Vice President and Chief Financial Officer. Please go ahead, gentlemen.
Geoff Martin: Thank you, Paul. Good morning everyone. Welcome to our third quarter investor update. I am going to hand the call over straightaway to Sean Washchuk, who will take you through the numbers.
Sean Washchuk: Thank you, Geoff. I'll turn everyone's attention to Slide number 2, our disclaimer regarding forward-looking information. I'll remind everyone that our business faces known and unknown risks and opportunities. For further details of these key risks, please take a look at our 2020 annual MD&A, particularly the section risks and uncertainties. Our annual and quarterly reports can be found online at the company's website, cclind.com, or sedar.com. Thank you. Moving ahead. For the third quarter of 2021, sales increased 8.4% with organic growth of 10.3%, acquisition related growth of 2.2%, partially offset by 4.1% negative impact from foreign currency translation resulting in sales of $1.49 billion compared to $1.37 billion in the third quarter of 2020. Operating income was $223.9 million for the 2021 third quarter compared to $246.3 million for the third quarter of 2020, a 5% decline excluding the impact of foreign currency translation. Geoff will expand on our segmented operating results for our CCL, Avery, Checkpoint and Innovia segments. Consolidated EBIDA for the 2021 third quarter excluding the impact of foreign currency translation decreased approximately 3% compared to the same period in 2020. Net finance expense was $14.2 million for the third quarter of 2021, compared to $16.4 million for the 2020 third quarter. The decrease in net finance costs is due to the lower average debt outstanding for the comparative quarterly periods. The overall effective tax rate was 24.1% for the 2021 third quarter, down from 25.1% effective tax rate recorded in the third quarter of 2020. The effective tax rate may change in future periods depending on the proportion of taxable income earned in different tax jurisdictions with different tax rates. Net earnings for the 2021 third quarter were $153.3 million in line with the prior year comparative quarter, but up 5% excluding foreign currency translation. For the nine month period, sales increased 14%, operating income increased 16% and net earnings increased 23% excluding the impact of foreign currency translation on the nine month periods. 2021 included results from 13 acquisitions completed since January 1, 2020, delivering acquisition related sales growth for the period of 2.1%, organic sales growth of 11.5% and foreign currency translation headwind of 4.5% to sales. Moving to earnings per share. Basic earnings per Class B share were $0.85 for the third quarter of 2021 compared to $0.86 for the third quarter of 2020. Adjusted basic earnings per Class B share were $0.85 for the 2021 third quarter compared to adjusted basic earnings per Class B share of $0.93 for the third quarter of 2020. The change in adjusted basic earnings per share to $0.85 from $0.93 is primarily attributable to a decrease in operating income of $0.05, $0.04 negative foreign currency translation offset by $0.01 reduction in tax rate. For the 2021 nine month period, the $0.32 increase in adjusted basic earnings per Class B share was largely due to $0.42 from increased operating income offset by $0.11 from foreign currency translation and increases in corporate expenses of $0.06 offset by a similar reduction of $0.06 from lower taxes and lower interest expense of $0.01. This resulted in adjusted basic earnings per share of $2.56 for the 2021 nine month period compared to $2.24 for the 2020 nine months period. Free cash flow from operations for the third quarter of 2021 was $152.4 million, compared to $230.4 million for the 2020 third quarter. An increase in cash taxes paid and net capital expenditures coupled with the retrenchment of networking capital, reduced free cash flow from operations and cash provided by operating activities for the third quarter of 2021, compared to the third quarter of 2020. For the 12 months ended September 30, 2021 free cash flow from operations decreased $13.4 million compared to the 12 months ended September 30, 2020. This comparative decline is attributable to an increase in net capital spending over the trailing 12 months period. Our cash and debt summary. Net debt as at September 30, 2021 was $1.25 billion, a decrease of approximately $144 million compared to December 31, 2020. This decrease is principally a result of debt repayments during the first nine months of the year, partially offset by a decrease in cash on hand at September 30, 2021 compared to December 31, 2020. The company's balance sheet closed the quarter in a strong position. Our balance sheet leverage ratio was 1.06 times declining from 1.24 times at the end of December 31, 2020. Our liquidity was robust with $622.5 million of cash on hand and US$1.2 billion of available, undrawn credit capacity on the company's revolving bank credit facility. The company expects to repay the current portion of its long-term debt from its free cash flow or from its bank revolving credit facility in the near term. The company's overall finance rate was largely unchanged at approximately 2.4% at September 30, 2021, compared to 2.3% at December 31, 2020. The company's balance sheet continues to be well-positioned as we move through 2021 and into 2022. Geoff, over to you.
Geoff Martin: Thank you, Sean. Welcome again, everybody. I'm on Slide Number 7, highlights for capital spending for the year, $197 million net of disposals, bit low than we would have liked really due to supply chain issues also in the machine building industry slowing up the rate of pace of our investments here. But we expect to spend about a $100 million in the remaining quarter of the year and $300 million for the year of 2021 in total. Slide Number 8, highlights for the CCL segment, regional organic sales growth up mid-single digits in North America, double digit in Latin America, a low-single digit decline in Europe. This is really due to the CCL Secure decline that impacted our organic growth globally. Excluding CCL Secure, organic growth in the other businesses of the segment was 6.4%. So, I think I explained to you already that note here we had a large windfall bank note orders in the third quarter of 2020 last year, which boosted operating margins for last year considerably and also our topline. So just for your historical reference, our operating margin reported in the year of 2019 was 15.3%, 14.4% in the year of 2018 and 13.3% in the year of 2017. So, you can see quite clearly that the third quarter of 2020 last year was an unusual quarter to put it mildly. Operating income decline really came from the exceptionally tough comps of CCL Secure and the FX translation between the two at the moment to about $30 million. But inflation was also a factor in raw materials, labor, freight, and energy. Hard to quantify in such precise details, but it wouldn't be unreasonable to assume we were unable to recover about a 100 basis points of sales in unrecovered inflationary impacts during the quarter. Next slide, Page 9 highlights of our joint ventures. Solidly quarter, some challenges in Russia due to the foreign exchange with the Rubel, but otherwise a solid quarter, all round. Slide 10, the success story for the quarter of our results at Avery. This is our record course we've ever enjoyed with this business both in absolute dollars and in operating margin, as everything recovered very nicely over a soft prior year period, despite the foreign exchange rate translation challenges we've experienced in every business we have globally. We had a strong recovery in all regions and in all products, the one business that does still remain below normal is our event badge business, particularly in business conventions, but sports events and things of that will return to normality. And the category in total is vastly improved. The back-to-school season was much better than 2020, despite supply chain issues and significant freight and component inflation from China, where we source critical components from our back-to-school product lines. So we're very pleased with the results from Avery for the quarter. Moving on to Slide 11, highlights the Checkpoint, very strong sales quarter, particularly in our apparel label business, which is up 30% on strong growth in RFID and the Uniter acquisition. However, our MAS business, which also grew in all regions of the world, except Asia-Pacific, where many retailers remain under lockdown restrictions, profitability, however was impacted by normalizing expenses and significant freight and component inflation from China. And China is our source for most of the products we sell in that category, antenna, gates, labels, tags, all kinds of components that are sourced to run our MAS business come out of China and we sell them all around the world. So freights and shipping costs from China as well as significant component inflation really was the cause of all the profit drop for the quarter. Moving on to Slide 12, highlights for Innovia, very strong sales gain, about 44% sales gain that we see their excluding FX, about 80% of that is really down to resin pass-through the other 20% is down to volume improvements and mix. So it's roughly an 80/20 principle. So productivity in the volume gains that we enjoyed were largely offset to a very significant extent by energy and freight inflation and the effect of the UK pound strength against the U.S. dollar on export sales from our large operation in the UK to the United States. Polish plant investment is on track for the end of 2021, early 2022 startup. And we have seen some easing of the resin environment in the early months of – early days of November. So we've seen the first signs of some normality returning to resin markets. Slide 13, outlook commentary for the coming fourth quarter. Fourth quarter 2020 earnings were up 40% on a normal non-pandemic affected comparative period in 2019. So it's a pretty high bar, especially at today's FX rates. We do expect things that Avery will continue to improve. Our Checkpoint business is in the middle of executing price increases to recover the inflation I talked about earlier on. Our CCL Design business will be affected by the chip shortage, not just in automotive, but also in the electronic space where as the end supply chain challenges are affecting certain components availability in China for making certain devices. Core CCL units in home and personal care and food and beverage and healthcare and specialty will do well to match the results of the prior year quarter, but CCL Secure comp is significantly so we won't ever repeat of what we saw in Q3, because there were no windfall orders that we received in Q4 last year. As I mentioned earlier, resin markets are stabilized, but we still have to navigate through tough energy and freight inflation challenges with the Innovia business, especially in Europe. And we have to get through the EcoFloat transition, and the large investment we're making in Poland, which will happen in Q4 and startup in Q1 next year. So with that operator, we'd like to open up the call for questions.
Operator: Certainly. Ladies and gentleman, the floor is now open for questions. [Operator Instructions] And we have some questions in queue. The first one is coming from Adam Josephson from KeyBanc. Adam, your line is live.
Adam Josephson: Geoff and Sean, good morning.
Geoff Martin: Good morning, Adam.
Adam Josephson: Geoff or Sean, FX, can you help me with a current rates? What the drag would be either on sales or EPS this quarter?
Geoff Martin: Sean, do you want to take that? Sort of about fourth quarter or third quarter?
Adam Josephson: Yes, just fourth quarter, Geoff.
Sean Washchuk: Well, I think we saw so far it's starting at about the same and it's largely driven right now by the U.S. dollar and the euro where I would've said earlier on this year, it was principally the U.S. dollar, but we're seeing both drag on sales right now.
Adam Josephson: The drag would be comparable. The earnings drag would be comparable year-over-year.
Geoff Martin: It’s probably $0.43 to $0.44 probably.
Adam Josephson: Yes. Okay. Okay. Thank you for that. Geoff, on the inflationary pressures that you talked about in the press release, you expect them to continue well into next year. Obviously, you’re seeing some easing and resin prices in the U.S. and Europe I believe you just said. So what are the inflationary pressures that you expect to persist well into next year? And then can you just elaborate on the measures that you talked about in the press release and trying to offset those pressures?
Geoff Martin: Well, the – they vary a lot by segment. So in the CCL space, its more raw materials than it is freight and the CCL space most of our customers pick up from us, especially in the U.S. So freight’s not really a factor there, but we we’ve had inflation in the label materials business, which we having to pass through to our customers. And we don’t have pass through arrangements in that industry. We – because cause there’s so much churn in the kinds of labels people buy, changes all the time. So as label design change re-price and it always takes a quarter or so to work through inflationary pressures. I think also we’ve had the cost benefits we had last year. So we had social security tax holidays in China, which were a big impact, which have all gone away. So we had some cost benefit last year, which have gone away. So it’s different kind of inflation, but cost has risen, because of that too. So in the Checkpoint business, it’s really around the stuff that we have to import from China. So you’ve probably read all about the challenges of 40 foot shipping containers coming out of China. So we’re going to have to pass on some increases due to that in the fourth quarter. And we’ll be mitigating some of it through re-engineering product lines and doing all the things you’d expect us to do. But total companywide, if you – I would estimate in Q3, we probably had 80 – between $80 million and $85 million of total inflation, a pretty big number for a company about size. We probably mitigated a good chunk of that, certainly well over $60 million, $65 million, but we probably had to eat $20 million something like that companywide. So pretty big number for one quarter.
Adam Josephson: Yes. Are you expecting a similar situation in 4Q in terms of what you’ll have to eat?
Geoff Martin: Well, we’ll have to benefit of some price increases kicking in Q4 and we will have some benefit of some easing. So we’ve seen China shipping for eight ease. The peak holiday season month for shipping is October for getting stuff into the retail channel into store – into their distribution centers, the distribution in the holiday period. So we’ve seen freight shipping ease a little bit in Q4. We’ve seen aluminum come down, quite significantly in the early months of – early days of November. We’ve seen a big resin tail off in the U.S. in early November. So some of the steam that was in the cooker in the summer has blown out a bit, but there’s still a fair amount there relative to what we had before. So we’ve still got some pricing work to do to recover it.
Adam Josephson: That’s great. Thanks, Geoff. And a couple others just, you didn’t mention demand trends in your outlook commentary. I don’t think. So I assume it’s the trends are flatter sequentially, but is that the correct assessment, that’s very useful.
Geoff Martin: Yes. Demand is still pretty strong. We haven’t seen any fall off in revenue or anything like that. So most of our businesses are facing strength in demand. The area that’s still weak is automotive. So you’ve read all about the chip shortage in that industry. And we haven’t seen really much of any improvement there. So for every OEM that’s gone one step forward, another one has taken one step back. So that looks like that won’t really improve very much in October and it’s going to get significantly worse in the electronics industry, really more around the closure of supply chains in Vietnam of critical components for cell phones and things like that.
Adam Josephson: Yes. Yes. And just one last one, Geoff, as we approach next year, are there any segments that stand out to you as having opportunities for or for particularly good growth next year. I ask as Avery is probably on track to get close where it was two years ago. Obviously, CCL had a nice year even with the secure fall off in 3Q. Is there any particularly obvious source of profit growth that comes to mind for you next year in any of the…
Geoff Martin: I think, we’ll have a big recovery in CCL Design next year. So because automotive has been in the dumps really, I mean, it’s going to have a worse year in 2021 than it had in 2020, which is really unbelievable when you think about it, but it looks like that’s what’s going to happen. And so we’ll have a huge recovery next year, I think in CCL Design. So that will be a pocket of growth. RFID and Checkpoint will be a pocket of growth. And in the good old label land, we’ve seen things pretty solid. And we’ve still got some pickup to come at Avery in the badge business, which is we’re looking forward to. And I don’t think we’ll have the same supply chain challenges that we faced in back-to-school this year – next year, because we’ll have a bit of time, more time to plan for it. And things are easing somewhat. They were easier this year than they were last year. And I think they’d be easier again next year. So we’ll have some pick up there too. And then we’ve got some important new investments coming on stream at Innovia, so we’re pretty optimistic about next year.
Adam Josephson: Perfect. Thanks, Geoff.
Geoff Martin: No problem.
Operator: Thank you. And the next question is coming from Walter Spracklin from RBC Capital Markets. Walter, your line is live.
Walter Spracklin: Thank you very much, operator. Good morning everyone.
Geoff Martin: Good morning, Walter.
Walter Spracklin: Yes. So just touching on your commentary onto next year, I know, I’ve already gotten a barrage of questions on this, so I wanted to reframe it again. So when we go back to late or call it third or fourth quarter of 2019, we did see some slowdown in your core CCL division that came about. And what I’m gathering from you based on just the answer your last question. That is not the case here, that the third and fourth quarter really were up against some tough compares and the business looks pretty strong going into 2022. Is that – am I framing that correctly, Geoff?
Geoff Martin: Correct? Yes.
Walter Spracklin: Excellent. All right. Going on to Innovia. Innovia, you had always indicated that was a $700 million business with high teen margins, but now with resin that kind of throws that off, given the pricing dynamic and the pass through impact on margin.
Sean Washchuk: High teens EBITDA.
Walter Spracklin: That’s right, yes. High teens EBITDA. Can you refer – can you – if resin prices were to stay at this level, you’re already trending 750 now, because you’re pricing it on, it’s hard for us to decompose the capacity, because we’re not getting a volume number in there. But is there a new kind of frame of reference that you can provide us in Innovia with regards to what the revenue run rate possibility given the capacity of that division is and what the new margin – EBITDA margin would be under a higher resin environment?
Sean Washchuk: Well, resin is not – we don’t know what resin is going to do, Walter. So we’re not really interested. It’s a past three business. So but we had $50 million in inflation in Q3 relative to the prior year. So we did recover it all, but it obviously has a pretty dramatic impact on your operating margins, when you just have a cost pass through. So that’s probably the most important number for you to hear. So if you take a $207 million of sales in this quarter, you have to take $50 million of that to normalize it relative to the same period last year for inflation and operating income in EBITDA, I would say, the same. So even with that, we set it up – we set EBITDA margins of 15.8%.
Walter Spracklin: Yes, it was fantastic. Okay. And just on CCL Design, you mentioned that could be a good year for next year. Anyway, you can frame for investors because right now we don’t have a – you don’t separately disclose that any indication that you can provide us as to what level impact overall that would a rebound in CCL Design would have on your numbers next year, just as a frame of reference.
Sean Washchuk: It’s about a $700 million segment.
Walter Spracklin: Okay. Thank you very much. That’s all my questions. Appreciate it.
Operator: Thank you. And the next question is coming from Stephen MacLeod from BMO Capital Markets. Stephen, your line is live.
Stephen MacLeod: Great. Thank you. Good morning guys.
Geoff Martin: Hi, Steve.
Stephen MacLeod: I just wanted to clarify, Geoff, just one thing from your commentary on the call, I just missed it. But you gave some color in the CCL segment about a $30 million impact and 100 basis points on unrecovered inflation. Can you just…
Geoff Martin: Yes. The $30 million is really the combination of the comparative in CCL Secure, which is about $24 million and foreign exchange translation, which is about $6 billion, so the two combines about $30 million year-year-over. And then the inflation impact – unrecovered inflation, so in inflation, we had more than this number, but unrecovered inflation was probably 1% of sales.
Stephen MacLeod: Okay. Okay. So about 100 basis points margin headwind. Okay. Thanks for clarifying that. Just when I think – obviously lots of moving parts on the CCL segment heading into Q4 and into next year. But on balance, is it fair to assume that the Q4 outlook in terms of the CCL segment is on balance positive? I mean, is it – or is it more sort of flattish to potentially negative?
Geoff Martin: Well, we had a very good quarter last year, so a very strong end to the year last year. So repeating that will be difficult. We did it in October, so that’s a good sign. So it’s almost difficult to see what happens in the last month of the year. All hangs on what happens in November and December now. But business is still quite strong. We’re just waiting to see what how things unfold. But going into next year, we feel quite encouraged about the prospects.
Stephen MacLeod: Okay. That’s great. And then, lots of impacts of inflation and supply chain issues. And I’m just curious when you – when you’re facing those issues in the business broadly, what are you managing to, are you managing to surety of supply? Are you managing to a margin level? I’m just curious how you think about facing these challenges overall?
Geoff Martin: Well, I think it’s the higher margin businesses; we are focusing more on the security of supply. So where we’ve got businesses, lots of cover, we are more focused on making sure we keep the customers supplied, where we’ve got sort of parts of the mix, which are more price sensitive. We’re more focused on price recovery. And the supply chain challenges have really happened where we got into continental travel involved, so where things are moving from one part of the world to another, that’s been the most difficult thing to deal with. Where it’s inside a region, it’s been challenging every day, but we’ve been able to keep customers supplied and it’s been much less of an issue. So it’s a combination really, and it depends on which part of the business you’re sitting in and the margins you’ve got to play with.
Stephen MacLeod: Right. Okay. Okay.
Geoff Martin: When you – if you’re running in no view and you’ve got $50 million of inflation in one quarter, guess what you’re focused on.
Stephen MacLeod: Right. Okay. Okay. And then maybe just two last questions. On the checkpoint business, you’ve indicated you have some price increases going through to offset inflation. Can you just give a little bit of color about what the lags are on those price increases going through? And then maybe in the checkpoint business secondly, what’s sort of the long-term margin profile, it’s moved around a bit on a quarter-to-quarter basis. And I’m just curious how you think about that over the longer-term.
Geoff Martin: Well, last year we had a lot of benefits in Asia from the government support program. So when the business turned back on last year, we had a very favourable cost profile, certainly an abnormally favourable cost profile that went away this year as things normalized. So the Social Security Tax holiday in China, which was a big benefit last year and we’ve gone this year. And then just with a pickup in business, some operating expenses just normalizing. So that was a factor in the ALS business. I would say the other thing is the intermodal freight and some of that may end up being transitory. It doesn’t look like it’s settling down a little bit. But the intermodal freight to get stuff out of China to every country, every market in the world was pretty big hit in Q3 in the MAS business. So in ALS, we – all of our deliveries are local, delivering to apparel manufacturers inside region, but in MAS we’re shipping all over the world to the United States, to Western Europe in particular. So that intermodal freight challenge was pretty painful in Q3 because of the cost of 45 foot shipping containers out of China.
Stephen MacLeod: Okay. That’s great. And then on the price increases, how long does it typically take to offset the inflation that you’re seeing?
Geoff Martin: I don’t think it’ll take very long. We’ll see how Q4 goes. But I’d expect we’d get that back fairly quickly, some of it in Q4 and certainly the rest of it by the first quarter of next year when we should be back on track. No problem.
Stephen MacLeod: Okay. Okay. That’s great. Thanks guys. I’ll read to you as some follows I have. Thank you.
Geoff Martin: No problem.
Operator: Thank you. And the next question is coming from Mark Neville, Scotia Bank. Mark your line is live.
Mark Neville: Hey, good morning, Geoff, morning, Sean. Excuse me guys. Maybe just first point of clarification on the challenge to match you Q4, would you still expect, it sounds like it, but would you still expect sort of to see positive prompts revenue comps across the business in 4Q?
Sean Washchuk: Yes.
Mark Neville: Yes. Geoff, you mentioned, it was somewhere in the, I think the MD&A in the release pricing, difficult pricing in Home & Personal Care Asia. I was just curious what that was.
Geoff Martin: Yes. Well, Asia was difficult in two reasons really in Q3. So demand got really curtailed in ASEAN, the ASEAN countries because of the lockdowns in Thailand and Vietnam and Singapore and these kinds of countries. So, we had a very soft quarter of demand wise. And then in China, the domestic market has also been slow, and we’ve got a lot more price sensitive as a result of it being slow. That’s changing a little bit in as we going into the Q4 period now, because it’s got a little busier. But it was pretty tough in Q3 in China and in ASEAN.
Mark Neville: Okay, thanks. And just on the CCL Segment on inflation again, I – the impact wasn’t 100 basis points. I mean all things considered not that large, but again, I was – I guess, I was under the impression was everything was sort of produced consumed locally. So, I’m just sort of curious the inflationary pressures was – it was on the material and I assume like as faster…
Geoff Martin: All raw materials. So, most of our raw material supplies, so laminate things, the thesis, varnishes, the price increases, I mean all in the double-digit range in over the last 90 days to 120 days. So it takes a while to fester that into the system and we do, it’s not a pass through industry. So, because labels change all the time, you get pricing, re-pricing opportunities, fairly regularly, but it’s not all immediate. And this inflation came very quick, very hard, very far.
Mark Neville: Got it, got it. Maybe just one last one, just on M&A, I’ll ask the question, Geoff. I’m just curious your thoughts around that, I don’t know if you’re able, I travel still a bit difficult, but…
Geoff Martin: No, no, travel is good. Travel is good. So after this call, I’m off to the Middle East, Russia and Brazil. So, we’re able to travel a lot more. You still can’t get to Asia. Asia is still problematic, but the rest of the world’s pretty much open and we’ve got a good list of bolt-on opportunities, nothing of scale currently, but a long healthy list of good bolt-on opportunities.
Mark Neville: All right. Thanks guys. And good job managing through everything.
Mark Neville: Thanks Mark.
Operator: Thank you. And the next question is coming from Michael Glen from Raymond James. Michael, your line is live.
Michael Glen: Okay. Good morning. Geoff, can you just talk a little bit more about the consumer electronics vertical and CCL design, what the demand trend looks like there and what that looks like for 2022?
Geoff Martin: Yes, it’s been very strong, but we know in the peak period in that industry is really the tail end of the third quarter and the beginning of the fourth quarter. And we know many OEMs have had trouble getting parts in China, because the demand curve ramps up because the holiday preparation period. So there has been some disruption. So many customers talking about it on their conference calls and that we've certainly seen it. So – but the demand is still strong well into double digits.
Michael Glen: Okay. And then on food and beverage vertical, when you look across the various sales channels there, is there still much upside left as we think about the reopening dynamic?
Geoff Martin: A bit, but it's really Asia, the place that's still largely affected. So if you looked at some of the bigger companies’ results in Q3, they all reported huge double-digit drops in Asia. So that's the region of the world that's still impacted. So – but I would say North America and Western Europe and South America, some pretty good recovery in on premise demand. And our business has done pretty well in Q3. But the part of the world where it’s still South East Asia.
Michael Glen: Okay. And then on Checkpoint, is there any sales, recovery or sales catch up that could take place in Q4 that wasn't done in Q3?
Geoff Martin: No. We had no problem meeting demand. It was the cost of meeting demand. That was the issue.
Michael Glen: Got it. And then any update on the share repurchase program?
Geoff Martin: None that I can talk about.
Michael Glen: And is there any?
Geoff Martin: It’s in our press release.
Michael Glen: Okay. Okay. I'll leave it there. Thanks.
Geoff Martin: Yes.
Operator: Thank you. And the next question is coming from David McFadgen from Cormark. David, your line is live.
David McFadgen: Well, thank you. A couple of questions. Just first of all on Avery, you talk about the event, that business still being below normal. I was just wondering if you could give us an update on where you stand compared to pre-pandemic levels?
Geoff Martin: Well, the part that's still below normal is really business conventions. So sports events, rock concerts, things of that order have returned full ball, because it business is really not dependent on Asia in any way. It's all Western Europe and North America. And so a big part of it is return to normal, but the business convention and business events is still significantly below normal. So it was maybe things that have been normal, we may have added to a couple of million dollars to EBIT in the quarter. So that's good to quantify for you.
David McFadgen: Would maybe if I can just ask another way, if you look at the revenue line, would you still be down something like 30% compared to pre-pandemic? I don't know if you can find that detail, but…
Geoff Martin: Well, it's not – it's a high margin business. So I think it's the EBIT impact that's really important for investors. And I just to give you a frame of reference of things have been totally normal. It would've been a couple of million higher for Avery than we report.
David McFadgen: Okay. Okay. And then just moving on to the price increases. So looking at your various divisions, is it safe to assume that the price increases are really going to be taking effect in CCL and Checkpoint going forward?
Geoff Martin: Well, we've had pretty sizeable price increases, we are in the – we've recovered all the resin. We didn't recover freight and inflation. So going forward, we've still got some energy and freight issues to manage at Innovia. But we certainly have managed a way through the resin impact. Checkpoint, yes, price increases there. CCL’s yes, price increases there. And we've also got price increases coming in Avery, particularly in those businesses that are sensitized to intercontinental supply chains.
David McFadgen: Okay. And are you seeing any pushback I'm putting through these price increases or it's not a problem?
Geoff Martin: But anyone who can’t get a price increase now, I may as well go home and forget about it.
David McFadgen: Okay. All right. Okay. Thank you.
Geoff Martin: Okay.
Operator: Thank you. And the next question is coming from Ben Jekic from PI Financial. Ben, your line is live.
Ben Jekic: Good morning. Most of the questions have been asked. I just wanted to ask about Avery, and I guess especially back-to-school business. I know in the last quarter where Jeff talking about is the supply issues in China and results were pretty, pretty strong. Would they have been even stronger if those issues didn't exist? Like what was...
Geoff Martin: Yes. It probably would've been – if things had been, if it'd have had completely normal supply chain from China, we probably would've been a few million dollars better than we were for back-to-school. So maybe a couple of million dollars and badges that I just talked about with the last questionnaire and maybe 2 million to 3 million more on back-to-school and we were otherwise made around particularly freight. So freight was a big factor.
Ben Jekic: That's fantastic. Thank you so much.
Geoff Martin: No problem.
Operator: Thank you. And next we have Adam Josephson from KeyBanc with a follow-up. Adam, your is live.
Adam Josephson: Thanks, Geoff. Geoff, just back to design for a moment, you mentioned it's a $700 million business. Should we assume it's roughly segment average margins or is it above, I'm just trying to get a sense of how much of a hit you took this year and consequently, what a reasonable expectation for how much you might get back next year is?
Geoff Martin: Well automotive is 300 million; electronics is near 400 million. So electronics is the bigger part. So automotive is sizeable – sizable drain this year because it's – we had a good start, but then when the chip thing hits, it really tanked. So there's a big upside there. And also in electronics, we've got some big new programs we've won, which are going to come forward talk to the system next year. And hopefully we'll have some of this inflation out of our system too. So we're very encouraged by the prospects of CCO design next year.
Adam Josephson: Any rough sense of just for us as to how much were automotive businesses down this year?
Geoff Martin: Well, if you taught about the segment in total, I mean $700 million in sales could – we might have a couple of points of margin we can improve next year over this year something like that, give you a frame of reference.
Adam Josephson: Okay. I appreciate that Geoff. On the EcoFloat investment, same kind of question; how much remind us how sizeable that investment is and what benefit one could reasonably expect next year as it starts up?
Geoff Martin: Well, it's a $35 million capital investment. So we obviously want to make a 20% return on that, so that's probably the starting point, and the good news is most of the volume we're targeting is already internally – is all internal. So the EcoFloat films would substitute for films we currently buy on the outside that are not as environmentally sensitive as EcoFloat is. So it'll be for – for largely for internal consumption. We will sell on the outside too, but it's largely for internal consumption.
Adam Josephson: Yes. That's great. Thanks. And just one last one for me, in terms of just CCL segment growth, I think you've talked in the past about, depending on where we are on the economic cycle, the high-end of the segments organic growth might be six-ish, the low-end might be zero to one. Obviously last year was one actually the last two years were one. This year is going to be call at six. So the high end. So you've gone from the low end to the high end. What do you think are reasonable expectation along those lines next year might be just given, whatever your views of what's happening to the global economy are?
Geoff Martin: Well, that's the big unanswered question, but if the economy holds up, low to mid single digits, so 4%, 5% maybe and another factor is how much inflation we still have in the system to come next year. So that's another thing we're not, we don't actually know about so, but I would say something in that range in the 4% to 5% in range.
Adam Josephson: And it could, and it could be biased up or just given all the price increases you're having to implement?
Geoff Martin: Yes. So it depends how much prices we're going to have to factor into the system next year, and whether some of the inflation in some of these commodities ends up being transitory or not.
Adam Josephson: Yes. Thanks so much, Geoff.
Geoff Martin: No problem.
Operator: Thank you. [Operator Instructions] We do have another follow coming from Stephen MacLeod from BMO Capital Markets. Steven, your line is live
Stephen MacLeod: Okay. Thank you. I just had a quick follow up on the Innovia segment. You had a big benefit, obviously, as you talked about the price versus mix and the revenue. Do you – has most of that already gone through, or will you still see some price impact coming through in Q4?
Geoff Martin: There's probably a little bit more price to come in Q4, but I think we have to bear in mind now Steven, the resin indexes have traded down in November pretty extensively. So they dropped out, almost double digits in, a week or so ago. So we'll be feeding those into the system as well. So I doubt when you add that, when you factor that in, I doubt there'll be a lot of, a lot of resin recovery in Q4 because I don't think we'll need it.
Stephen MacLeod: Okay. And then maybe just following on to Adam's question about 2022 and sort of how you're thinking about the business for CCL that's thank you for the color on, on the organic sales growth, margin wise would you expect to sort of maintain that historical range of like 15% to 16% on the EBIT line in 2022?
Geoff Martin: Sure.
Stephen MacLeod: Yes. Okay. And then just finally, the Avery margins were quite strong in the quarter and they were weaker in 2020 for obvious reasons, but would you expect next year to sort of return back to historical levels in that, 21% 22% range?
Geoff Martin: Correct.
Stephen MacLeod: Yes. Okay. Great. Okay. Well, thanks Geoff. Thanks Sean. Appreciate it.
Geoff Martin: No problem. Thanks Steven.
Operator: Thank you. There were no other questions left in queue at this time. I would now like to hand the call back to the CCL management team for closing remarks.
Geoff Martin: Okay, everybody. Well, thank you very much for joining our call. We look forward to talking to you again early next year. Thank you very much. Good morning.
Operator: Thank you, ladies and gentlemen, this does conclude today's conference. You may disconnect at this time. Have a wonderful day. Thank you for your participation.